Operator: Good day, ladies and gentlemen, and welcome to the Baker Hughes Company Third Quarter 2024 Earnings Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. As a reminder, this conference call is being recorded. I would now like to introduce your host for today's conference, Mr. Chase Mulvehill, Vice President of Investor Relations. Sir, you may begin.
Chase Mulvehill: Thank you. Good morning, everyone, and welcome to Baker Hughes third quarter earnings conference call. Here with me are our Chairman and CEO, Lorenzo Simonelli; and our CFO, Nancy Buese. The earnings release we issued yesterday evening can be found on our website at bakerhughes.com. We will also be using a presentation with our prepared remarks during this webcast, which can be found on our website. As a reminder, during this conference call, we will provide forward-looking statements. These statements are not guarantees of future performance and involve a number of risks and assumptions. Please review our SEC filings and website for factors that could cause actual results to differ materially. Reconciliations of operating income and other GAAP to non-GAAP measures can be found in our earnings release. With that, I'll turn the call over to Lorenzo.
Lorenzo Simonelli: Thank you, Chase. Good morning, everyone, and thanks for joining us. Starting on Slide 4, we delivered strong third quarter results, highlighted by another record quarterly EBITDA and the third consecutive quarter of at least 20% year-on-year EBITDA growth. EBITDA margins continue to improve at an accelerated pace, increasing year-over-year by 2.7 percentage points to 17.5%, which marks the highest margin quarter since 2017. This strong performance is driven by significant margin expansion across both segments, with clear progress being made toward our 20% EBITDA margin targets. Total company orders remain at solid levels during the quarter, including $2.9 billion for IET. This marks the 8th consecutive quarter for IET orders at or above that level and highlights the end market diversity and versatility of our technologies. Our free cash flow performance was equally impressive during the quarter, coming in at $754 million. Our business continues to perform well and we remain confident in achieving the midpoint of our full year EBITDA guidance. Baker Hughes is becoming less cyclical and is demonstrating the capability to generate more durable earnings and free cash flow across cycles given our balanced portfolio, significant reoccurring IET service revenue, and improved cost structure, in addition to the company's untapped market opportunities. Turning to Slide 5. We want to highlight recent key awards and technology developments. In Gas Technology Equipment, we secured two additional FPSO orders, increasing the year-to-date total to four. Saipem awarded us a contract to supply BCL and ICL centrifugal compressors for TotalEnergies' all-electric Kaminho FSO project in Angola. Separately, IET was selected to provide electric motor-driven compressors for an FPSO project in a strategic Latin American basin. In Gas Technology Services, we secured a multi-decade agreement for an LNG facility in the Middle East to provide extensive aftermarket services and digital solutions leveraging IET's iCenter. Including this award, Gas Technology Services has booked into RPO over $600 million of contractual service agreements year-to-date, highlighting the value of gas technologies lifecycle offering. In new energy, we continue to see solid order momentum. We booked $287 million during the quarter increasing year-to-date orders to $971 million. We are on pace to exceed the high end of our $800 million to $1 billion order guidance, anticipating to book over $1 billion for the first time. In Climate Technology Solutions, we received the largest award to-date for our zero emissions ICL technology. As part of the UAE's decarbonization strategy, we will supply 10 compressor units to Dubai Petroleum enterprise for the Margham Gas storage facility, highlighting continued strong global demand for gas infrastructure. In OFSE, we continue to experience strong order momentum in Brazil, further strengthening our relationship with Petrobras. During the quarter, we received multiple contracts to supply flexible pipe systems in Brazil's Santos Basin. The contracts also include multi-year service agreements to support maintenance activities through the lifecycle of the project. We are also seeing increased brownfield activity as more customers spending is allocated to optimizing recovery from existing fields, an underlying trend that we expect to last many decades. This creates a strong backdrop for mature asset solutions; our integrated offering that leverages OFSE's full range of innovative technologies to enhance total field recovery. Aligned with this trend, we were awarded a sizable multi-year well intervention and completion contract in the Middle East. We continue to make progress on the digital front. OFSE benefited from increased customer adoption of Leucipa, our intelligent automated field production digital solution, a major global operator expanded the use of Leucipa across multiple wells in the Permian Basin, enabling optimized recovery rates through real time field orchestration to produce lower carbon short cycle barrels. Additionally, we announced earlier this month a new strategic collaboration with Repsol to develop and deploy next-generation AI capabilities for Leucipa across its global upstream portfolio. In addition, at the Gastech Conference last month, we launched CarbonEdge powered by IET's Cordant. This end-to-end risk-based digital solution delivers precise real time data and alerts on CO2 flows across CCUS infrastructure from subsurface to surface. This connectivity enables OFSE and IET customers to mitigate risk, improve decision making, enhance operational efficiency, and simplify regulatory reporting. Turning to the next slide. It is important to reiterate our long held macro view of structurally growing energy demand, which underpins our strategy and remains the nucleus of our long-term growth potential. Between now and 2040, we expect global primary energy demand to grow by 10%, driven by population growth and increasing energy intensity across major developing countries. To put this in perspective, there are roughly 8 billion people in the world today. 1 billion live in OECD countries, with the other 7 billion living in emerging economies. According to the Energy Institute, a person in the developed world consumes on average 3x the energy of a person who lives in emerging countries. Therefore, even a small increase in energy consumption per capita in the emerging world can have a sizable impact on overall energy demand. While we forecast significant growth in renewables, we believe this increase in primary energy demand will need to be met by multiple sources. Ultimately, we expect renewables to fall short of meeting both growing demand and replacing hydrocarbons to decarbonize the existing energy system. It will take an all of the above strategy, focusing on the emissions and not the fuel source, to meet the increase in energy demand. In our view, natural gas is a clear winner. It is abundant, low cost, and has lower emissions. This is the age of gas. By 2040, we expect natural gas demand to grow by almost 20% and global LNG demand to increase at an even faster rate of 75%. This backdrop provides a very constructive environment in which Baker Hughes can flourish. We are experiencing a significant increase in gas infrastructure equipment orders and anticipate this trend will continue as many developing economies look to increase the use of natural gas within power generation and industrial applications. In LNG, we continue to see a requirement for 800 MTPA of liquefaction capacity by 2030 to meet increasing global LNG demand. This year is supported by more than 200 MTPA of LNG capacity under construction today and a positive outlook for additional FIDs. Turning to oil. We anticipate moderating levels of demand growth through the end of the decade. In this environment, we expect OpEx spend to accelerate as the focus shifts from greenfields to brownfield developments. We have positioned our OFSE portfolio for differentiated growth in mature fields, playing a leading role in helping customers optimize oil and gas production through our mature asset solutions. With this energy mix backdrop, the focus must be on lowering emissions. We see energy efficiency and decarbonization technologies playing a critical role in achieving net zero goals. We are focusing our efforts to enhance and develop new technologies in these areas and see this as a fundamental growth theme for our company. On decarbonization, we continue to experience good traction across our new energy portfolio, which focuses on CCUS, hydrogen, geothermal, clean power and emissions abatement. We expect deployment of decarbonization technologies will continue to gain momentum as policy support and technology advances drive improving project economics. With this anticipated strengthening demand backdrop, we remain confident in our ability to achieve our 2030 orders target of $6 billion to $7 billion. Across our industrial and energy installed base, we are also developing solutions to enhance efficiency and reduce emissions from our equipment. This can be in the form of upgrading turbines and compressors, installing electric motors, or adding zero leak valves. Beyond equipment, we are seeing increased levels of digital adoption for Cordant, which improves asset performance, optimizes processes, and reduces energy consumption. Turning to Slide 7. I wanted to spend some time discussing near-term market dynamics, where we see customer spend shifting toward global gas and mature fuels as oil demand fundamentals soften. Oil markets have recently been impacted by both supply and demand factors, including slowing global economic growth, resilient North American production, weakening OPEC+ compliance, and geopolitical uncertainty in the Middle East. Even with the uncertain oil macro backdrop, our global upstream spending outlook for this year remains unchanged. In North America, we continue to anticipate spending to decrease year-over-year in the mid-single-digits range, and we expect to outperform given our production weighted portfolio mix. Across international markets, we maintain our outlook for high-single-digit growth this year. Looking beyond 2024, there are many factors that we are monitoring that could drive further volatility in oil prices. On the supply side, we continue to see production increasing in North America, adding to the growth in deepwater production that is planned for next year. Combining these variables, with planned OPEC+ production increases, projections point to relatively soft oil fundamentals in 2025. However, geopolitical uncertainty across the Middle East could create added volatility for oil prices. We continue to evaluate our 2025 plans for the company and we will communicate guidance in January. Based on the current macro and geopolitical environment, we expect next year's global upstream spending to be similar to 2024 levels. As the upstream cycle matures, we expect our customers to increasingly focus on optimizing production from existing assets, providing significant growth opportunities for our mature asset solutions. This leverages our decades of experience, deep domain knowledge and industry-leading technologies by capitalizing on our expansive capabilities across the OFSE portfolio. By 2030, we estimate that 80% of the world's oil and gas supply will be produced by mature fields. Turning to natural gas. We continue to see strong growth which will drive demand for our gas led products and solutions in both OFSE and IET. For LNG, year-to-date, off-take contracting has totaled 78 MTPA, which is on pace to exceed the record 84 MTPA achieved in 2022. This contracting strength supports our outlook for 100 MTPA of FIDs between 2024 and 2026. We also continue to see strong demand for gas infrastructure projects with significant awards this year for MGS-3 in Saudi Arabia, Hassi R'Mel in Algeria, and Margham Gas storage facility in Dubai. We expect non-LNG gas technology equipment orders this year to more than double levels booked in 2023. On the back of another strong year for new energy, we see several projects progressing toward FID in the U.S. and internationally in 2025, giving us confidence that our new energy orders will continue to grow. To conclude on the market outlook, our production levered OFSE portfolio will benefit from increasing levels of OpEx spending. In addition, our diversified IET portfolio and significant leverage to recurring revenue position us well to drive more earnings and free cash flow stability, which will be supplemented by the structural growth drivers, I outlined in our long-term energy outlook. Turning to Slide 8. I wanted to spend a few minutes discussing the full life cycle aspect of gas technology, where there is a strong linkage between equipment and services. This connectivity and associated recurring service revenue stream are valuable characteristics of our IET business that are more aligned with our high quality industrial peers. Starting from the design phase of the project, we work closely with our customers to select the right equipment to meet the desired operating conditions, while also providing solutions that are safe, reliable, and efficient. This early engagement provides significant visibility into our future equipment orders. After receiving the equipment award, we worked with the customer to design the appropriate maintenance plan to optimize their total cost of ownership. This typically includes preventive maintenance, the provision of spare parts, repairs, and field technical support. Compared to the original equipment sale, these aftermarket service agreements provide recurring revenue streams that can generate 1x to 2x the revenue over the life of the equipment. Commercial value of these long-term agreements is linked to performance, reliability and availability guarantees. This along with the engineering support over the life of the contract drives customer loyalty and in turn higher margins. In many cases, this recurring service revenue is supplemented by upgrade opportunities on our installed equipment. As the original equipment manufacturer with decades of service experience, we have the best knowledge to assess the feasibility of various options. We have successfully executed over 2,000 upgrade projects around the world, optimizing upstream oil and gas production, LNG production, pipeline transport volumes, refinery and petrochemical output, and much more. To meet rising upgrade demand, we are investing in new technology that keeps equipment running beyond its original design life and improve the availability, reliability, emissions, productivity and life cycle costs of our customers installed equipment. Our service capabilities will also continue to evolve and provide additional growth opportunities for our advanced service solutions, leveraging the latest AI capabilities and over 20 years of monitoring and diagnostic data from our machines. Through our iCenter facilities, which specialize in the edge to cloud applications and remote operations, we are able to improve operating performance, increase asset efficiency, and reduce emissions throughout the life of the equipment. At every stage of this life cycle journey, we are closely aligned with our customers to ensure they extract the best value from our equipment. In return, we are rewarded with a recurring higher margin revenue stream that is reflective of the differentiated industrial like aftermarket services provided by gas technology. Looking at Slide 9, our gas technology serviceable equipment base, which spans across LNG, onshore, offshore production, industrial, downstream and gas infrastructure markets, has doubled from 4,400 units in 2000 to about 9,000 units in 2023. Due to the significant growth and the introduction of service business models like contractual service agreements in the early 2000s, our Gas Technology Services revenues demonstrated a notable increase from about $400 million in 2000 to $2.6 billion in 2023. Looking out to 2030, we expect our serviceable installed base to increase by 20%, given our robust level of equipment backlog and positive outlook for orders. This significant installed base growth and the multi-decade lifespan of our equipment gives us confidence that we can structurally grow our Gas Technology Services revenue over the next decade. Anchored by gas technologies life cycle business model, our IET segment is truly differentiated and what sets us apart from our peer group. Before turning the call over to Nancy, I would also like to take a moment to welcome Amerino Gatti to the company, as our new Executive Vice President of OFSE. Amerino has an extensive background in both energy and industrial sectors. He will be pivotal in leading OFSE into the next horizons, building upon the strong foundations laid by Maria Claudia Borras and her team to achieve our 2025 EBITDA margin targets. We are accelerating towards the next phase of our journey. Across our three horizons, we remain focused on executing our strategic pillars, which include transforming the core, driving profitable growth, and delivering for new energy. We are committed to driving margins and returns higher and realizing the full potential of our diversified energy and industrial company. With that, I'll turn the call over to Nancy.
Nancy Buese: Thanks, Lorenzo. I will begin on Slide 11 with an overview of our consolidated results and then speak to segment details before summarizing our outlook. We have again delivered solidly on our third quarter results, setting another record for quarterly EBITDA and generating the highest EBITDA margins for the company since 2017. It is clear that our focus on operational excellence and profitable growth is demonstrating results. OFSE and IET both delivered exceptionally strong margin performance, helping to drive record adjusted EBITDA of approximately $1.21 billion, a 23% year-over-year increase and above our guidance midpoint. We have now met or exceeded the midpoint of our EBITDA guidance for all seven quarters that we've been providing guidance. We are delivering on our commitments and we remain focused on meeting our targets. GAAP operating income was $930 million; there were no adjustments to operating income during the quarter. GAAP diluted earnings per share were $0.77. Excluding adjusting items, earnings per share were $0.67, an increase of 59% when compared to the same quarter last year. Our adjusted tax rate declined to 26% as we continue to execute our tax optimization program. We expect our year-end tax rate to be slightly below the midpoint of our full year guidance range. As Lorenzo mentioned, we delivered another quarter of solid orders with total company orders of $6.7 billion, including $2.9 billion from IET. The diversity of IET's end markets continue to support a healthy order book, strengthened by additional gas infrastructure projects and two FPSO awards. We generated free cash flow of $754 million for the quarter, bringing our year-to-date total to almost $1.4 billion. For the full year, we are targeting free cash flow conversion of 45% to 50%. Our balance sheet remains strong, ending the third quarter with cash of $2.7 billion, net debt-to-EBITDA ratio of 0.8x and liquidity of $5.7 billion. Turning to capital allocation on Slide 12. In the third quarter, we returned $361 million to shareholders. This includes $209 million of dividend and $152 million of shares repurchased during the third quarter. Year-to-date, we have returned $1.1 billion to investors. For the full year, we remain committed to returning 60% to 80% of free cash flow to shareholders. Our primary focus is to continue growing the dividend with increases aligned with the structural growth of the business. We will continue to use share repurchases to reach the target range that we remain opportunistic. Now, I will walk you through the business segment results in more detail, and provide our outlook, starting with Industrial and Energy technology on Slide 13. IET EBITDA outperformed our guidance midpoint entirely attributed to outstanding margin performance. As I will discuss later, the process mindset adopted by the team is driving a culture of improved efficiency and productivity, which is clearly reflected in the segment's margin performance. IET orders remain strong at $2.9 billion, driven by further FPSO and gas infrastructure orders. We are also seeing solid momentum for Cordant solutions, which booked record orders. Year-to-date, we have now booked $9.2 billion of IET orders and we remain on pace to achieve our full year order guidance. The versatility and differentiation of the IET portfolio remain significant advantages for Baker Hughes, allowing us to profitably grow with new customers across both core energy and industrial end markets. IET RPO ended the quarter at $30.2 billion, an increase from prior quarter's record level and up 5% year-on-year. This level of RPO provides exceptional revenue and earnings visibility over the coming years. As we execute our robust equipment backlog, this will significantly increase our installed base, which will then drive structural growth in our aftermarket service business well beyond 2030. IET revenue for the quarter was $2.9 billion, up 9% versus the prior year, led by a 200% increase in Climate Technology Solutions and 9% growth in Gas Technology Services. IET EBITDA was $528 million, up 31% year-over-year. EBITDA margin increased 2.9 percentage points year-over-year to 17.9%. I want to specifically highlight the progress in gas technology equipment margins, which are up significantly due to conversion of higher margin backlog, cost efficiency improvement and strong productivity gains. We also continue to see good margin expansion in a few of our more digital and industrial levered businesses. Turning to Oilfield Services & Equipment on Slide 14. The segment maintained its strong margin trajectory and we are on track to achieve our 20% margin target for next year. This is a testament to the work the OFSE team has done to drive cost efficiencies and maintain commercial discipline as they remain focused on profitable growth and driving towards stronger service delivery to customers. Continued strength in flexibles helped to drive Subsea & Surface Pressure Systems orders of $776 million. We expect offshore activity to remain at solid levels and anticipate increased order contribution from subsea tree awards in 2025. OFSE revenue in the quarter was $4 billion, led by sequential growth in flexible pipe systems, surface pressure control, and artificial lift. International revenue was flat sequentially. Growth continued in Europe and Sub-Saharan Africa, which was offset by lower revenue in the Middle East and Latin America. In North America, revenues declined 5% sequentially, mostly due to the Gulf of Mexico. North America land revenues were flat sequentially, again outperforming rig activity due to our heavy weighting towards production levered businesses. OFSE EBITDA in the quarter was $765 million, up 14% year-over-year. OFSE EBITDA margin rate was 19.3%, increasing 2.3 percentage points year-over-year. This strong margin improvement was led by higher pricing, cost efficiency, and productivity enhancements that we've been executing across the business. We are particularly pleased with the continued improvement in SSPS performance where margins increased to record levels. Turning to Slide 15. I want to take a moment to emphasize the strong progress we are making in driving structural margin improvement. This is clearly evident from our results. An important aspect to highlight is that more than half of this quarter's year-over-year margin improvement is attributed to the transformation actions the team has executed across the company. This will continue to be a large contributor to our margin improvement as we progress through 2025. We are executing several projects to streamline activities, remove duplication, and modernize management systems. This is improving clarity, transparency, and the pace of decision making, enabling our colleagues to work smarter and drive costs structurally lower. We also continue to enhance our supply chain across the enterprise. Specifically, on our procurement strategy, we are focused on sourcing a larger volume of materials from best cost countries by leveraging suppliers in India, Mexico, and Eastern Europe. In IET, we have demonstrated significant progress this year, highlighted by EBITDA margins reaching the high-teens this quarter. We remain on track to achieve our 20% margin target in 2026, an important milestone in our journey towards high quality industrial type margins. The key drivers in achieving our margin target include conversion of higher margin gas technology equipment backlog, cost and supply chain efficiencies, higher industrial technology margins and reduced R&D spending as revenues continue to grow. We are demonstrating tremendous progress in IET. The team has adopted a process mindset that is driving a culture of improved efficiency and productivity, embracing industrial automation and deploying lean strategies across our operations. This is yielding higher throughput, lower manufacturing costs, and reduced lead times for our customers. This year alone, IET has initiated over 100 Kaizen projects. To give you some perspective on targeted improvements from these Kaizen, the team has recently reduced the lead time of one of our X-ray industrial inspection machines by one-third and made significant improvements to product costs on multiple product lines. In OFSE, we delivered an EBITDA margin rate of 19.3% in the quarter, which is approaching our 20% target. SSPS performance this year is a great example of the progress we have made in OFSE. SSPS EBITDA margins have increased significantly over the last two quarters and now are in line with our subsea equipment peers. This has been driven by refocusing our commercial model, rightsizing our capacity, and improving our execution. There are still more opportunities across the broader OFSE portfolio to optimize our supply chain improve service delivery and drive further cost productivity. We are focused on profitable growth over the coming years and remain confident in driving continuous margin improvement beyond our 20% target. Overall, we are making significant progress in changing the way we operate and are excited by the many opportunities still available to drive margins even higher across Baker Hughes. Next, I'd like to update you on our outlook. The details of our fourth quarter and full year 2024 guidance are found on Slide 16. The ranges for revenue, EBITDA, and D&A are shown on this slide and I will focus on the midpoint of our guidance. Overall, we maintain our outlook for the company. IET is benefiting from multiple cycles including LNG, gas infrastructure, offshore, and new energy. Our portfolio is well-suited to capitalize on the positive momentum in each of these areas. Given these tailwinds and our continued operational improvement, we expect fourth quarter total EBITDA of approximately $1.26 billion at the midpoint of our guidance range. For IET, we expect fourth quarter results to benefit from continued productivity enhancements and process improvements, as well as strong revenue conversion of the segment's robust backlog. Overall, we expect fourth quarter IET EBITDA of $590 million at the midpoint of our guidance range. The major factors driving this range will be the pace of backlog conversion in Gas Technology Equipment, the impact of any aero derivatives supply chain tightness in Gas Technology, and operational execution in industrial technology and Climate Technology Solutions. For OFSE, we expect fourth quarter EBITDA of $750 million at the midpoint of our guidance range impacted by activity uncertainty in Saudi Arabia, Mexico, and North America. Factors impacting this range include the SSPS backlog conversion, realization of further cost-out initiatives, broader activity levels, and the amount of year-end product sales. Now, turning to our full year guidance. We have narrowed the guidance range for total company EBITDA and the midpoint remains unchanged. We expect IET orders to remain at robust levels this year, driven by strong momentum across all aspects of the IET portfolio. We maintain our full year guidance range of $11.5 billion to $13.5 billion, with expectations for orders to approach the midpoint. As a result of robust backlog conversion and strong margin performance, we are increasing our full year outlook for IET EBITDA to $2 billion at the midpoint of our guidance range. For OFSE, our updated EBITDA midpoint is $2.87 billion, where margin strength is expected to be offset by lower second half OFS revenues. In summary, we are extremely pleased with the operational performance of the company. The third quarter marks the second consecutive quarter of record EBITDA, the highest EBITDA margin quarter since 2017 and a more than 150% increase for quarterly EPS in just two years. These are clear indicators that our transformation is working. The entire organization is committed to structurally improving margins and capitalizing on market opportunities with our differentiated portfolio of products and services, both of which are key drivers in our journey to further increase shareholder value. We are proud of the progress the company is making and we are excited about the future of Baker Hughes. I'll turn the call back over to Lorenzo.
Lorenzo Simonelli: Thank you, Nancy. Turning to Slide 18, our results are showing clear progress as the company's strategy is delivering success. EBITDA has almost doubled in four years and our margins are expected to be up 5 percentage points compared to 2020. Looking forward, we see a differentiated growth opportunity for Baker Hughes, led by our strong market positioning across natural gas, LNG, new energy, industrial, and mature fields. Recent growth cycles across multiple end markets have resulted in robust order levels that provide significant revenue visibility for IET's equipment and aftermarket service businesses. In addition, we continue our journey of relentless margin improvement. Total EBITDA margins this quarter reached the highest level since 2017, with both segments achieving high-teen margins on a path to our 20% targets. 20% is not a destination. It is only a milestone on our journey toward peer leading margins across both segments. To close, I'd like to thank the Baker Hughes team for yet again delivering very strong results. It's a testament to the strength of our people, the culture we are building, the portfolio we have created and the value of the Baker Hughes enterprise. With that, I'll turn the call over to Chase.
Chase Mulvehill: Thanks, Lorenzo. Operator, let's open the call for questions.
Operator: Thank you. [Operator Instructions]. Our first question comes from David Anderson with Barclays.
David Anderson: Great. Thank you. Good morning, Lorenzo.
Lorenzo Simonelli: Hey, Dave.
David Anderson: So, global gas infrastructure being a theme, IET is clearly really well-positioned over the -- as you highlighted through the end of the decade. I thought it was really interesting. You were highlighting kind of interconnectivity between the equipment and the services component. I was wondering if you could just talk about that a little bit and kind of dig into that a little bit more. The services business is clearly an accretive kind of growth angle here. You highlighted kind of how this all changes. So could you talk about kind of how you expect services to change going forward? I'm assuming most of this is LNG now, but then we also have a bit of a mix shift happening as you're seeing kind of the order book this year is more non-LNG. So could you talk about the various components of services and kind of how you see those sort of inflecting over the next several years?
Lorenzo Simonelli: Yes, definitely, Dave. And I think it's an important aspect of our business that sometimes is overlooked, and it's a key differentiator for gas technology because of the life cycle offering that we have with our customers, and we're able to optimize their total cost of ownership. And you can see in the presentation Slide 8, the connectivity that's associated with recurring service revenue stream, and the valuable characteristics, as I've mentioned before, razor, razor blade, and it's really aligned with our high quality industrial peers that have some of the same characteristics across the entire life cycle of the equipment. And this recurring revenue stream spans for a period of 20 years to 30 years, and can generate 1x to 2x the revenue that we get from the equipment originally when sold. And from a margin standpoint, also, it generates higher margins as an aftermarket service business compared to our equipment margin. And as you look at it today, Gas Tech Services already accounts for nearly 50% of IET's total EBITDA. And so when you look at the equipment build cycle that we've had, not just in LNG, but also on offshore, onshore production gas infrastructure, it provides us a lot of visibility to our service revenue over the next 20 years to 30 years that I think is different than some of our traditional peers. And it can be lumpy just because of the timing intervals of maintenance, but it typically takes about 7 years to 10 years from the equipment award to the vast significant service revenue milestone. So accordingly, what we're starting to see the benefits of now is related to the 2014, 2019 LNG cycle, where we booked more than 165 MTPA of LNG projects which were commissioned. And these facilities are now starting to reach their major inspection milestones. What's interesting though, and again important is the 200 MTPA under construction today hasn't yet started to generate material service revenue and won't start to do that until the latter part of this decade, early the next. The important aspect is though that we have the LNG installed capacity already in our backlog today, and that installed capacity is expected to grow by 70% by 2030. The same is true also on onshore and offshore production gas infrastructure. And we have a number of machines, as you know, in service today on FPSOs, pipelines, downstream, and industrial sites, with several under construction. So it gives us a lot of confidence that with the nearly $20 billion of Gas Tech Equipment orders since the start of 2022, along with the positive outlook for further GTE orders will drive a 20% growth in our installed base by 2030 and further upside beyond 2030. So it gives us continuous visibility and that increasing installed base as well as the upgrade opportunities will give us structural growth for the Gas Tech Services revenue over at least the next decade, led by the high service calories of LNG. But as you mentioned, also the increasing mix within FPSO and the gas infrastructure, and it's a very important element of our business that we want to shine a light to and hence the focus on page Slide 8 today.
David Anderson: Lorenzo, a real quick follow-up there, is the LNG calories from services? Are those higher calories than everything else? Is it a noticeable difference or just slightly higher?
Lorenzo Simonelli: The attachment rate on LNG is definitely higher. And as you know, we have contractual service models that we've implemented over the course of the last decades. And on LNG, there is a higher attachment rate. We do have the same attachment rate also on some of the FPSOs and then also transactional service agreements as well. So all bodes well with regards to Gas Tech Services going forward.
Operator: Our next question comes from Scott Gruber with Citigroup.
Scott Gruber: Well, I could say that you guys have been beating on margins all year, but this is by far the most impressive quarter, so congrats.
Lorenzo Simonelli: Thanks.
Scott Gruber: In IET, you mentioned confidence in achieving the 20% margin threshold in 2026. How do you think about the cadence of margin improvement over 2025? And in 2026, how smooth will that expansion be? Or is it more 2026 weighted from here? And as you think about the margin drivers, what are the biggest contributors over the next two years, just given the improvement already realized today?
Nancy Buese: Yes, Scott. I'll take that one. We are really pleased with the progress we're making on the margin front, and you've noted the significant improvement that we've made. We're continuing to really improve those margins at, I would say an accelerated pace, and that's increased 2.7 percentage points up to 17.5%, which is really the highest margin quarter since the company was formed. And truly, this is driven by really strong progress across both the segments and at corporate. And one way to help frame that up a little bit is just to kind of isolate the drivers, as you've asked is about half, a little over half of the year-over-year margin improvement was attributed to self-help across the company. And I think that's really notable about the work that's been done. So if you think about corporate, for example, we've really driven down our corporate costs. And we're right now on pace to be about $60 million annually, lower than they were just two years ago. And that's part of the work around enhancing the systems and processes, driving some real efficiencies, and removing any duplication between the center and the segments. We found that to be super effective. And then in IET, EBITDA margins have increased to 17.9%, that's up 2.9 percentage points year-over-year, and also a record. And that's due to a lot of really good work being done in the segments that's been going on over the last couple quarters, and you're seeing that play out today. So for example, Gas Tech Equipment margins are up significantly year-over-year, as we've signaled due to conversion of higher margin backlog, cost efficiency improvements, very strong productivity gains, and also some great work being done in supply chain. We've also continued to see really good margin expansion in some of our more industrial levered businesses like Bently Nevada, in valves and in gears. And as I mentioned, the segment has over 100 Kaizen projects going on today, and they're all driving for more improvement. So there is more to go. The progress is really clear. I think it's -- we've restated that we're very confident in achieving our 20% EBITDA target by 2026 in IET. And I would also say just one thing to note is that, that mix question we get between Gas Tech Equipment and Gas Tech Services, that differential is actually more muted than ever before. So that's really not a driver. This is really driven by excellent work being done on the segment. And then on the OFSE side, similarly, EBITDA margins have increased to 19.3%, that's up 2.3 percentage points year-over-year. So it's a really important change for them. The main driver was also around strong progress made in SSPS, which we noted, where EBITDA margins are up more than twice year-over-year, and they're really now in line with peers. So a lot of great work there. They've removed layers of duplication. They've right sized capacity and really narrowed the focus to basins and customers, and focusing more on price than on volume and really around service delivery. And in the rest of OFSE, we've been taking numerous actions to drive the margin rate beyond 20%. And if you recall, earlier this year, we talked about additional actions we were taking to remove duplication, and we're still receiving more benefits from that program, so more work to be done also in OFSC, but some great early signs. I think it's also really important to highlight that there is a lot within our control and we are actively progressing for both segments. We are fundamentally changing the way we work. Another thing to note though is the margin journey we're on is not totally reliant on the external market environment. So there is a lot of self-help. And even with the external markets changing, we are very confident in our ability to drive continuous margin improvement well beyond the 20% targets. So hopefully that gives you a little bit of color on where we're headed.
Lorenzo Simonelli: And Scott, just to note, I mentioned this in the remarks as well. This is not a destination the 20%. It is a milestone along a longer journey. And what you can see is, as Baker Hughes, we have visibility to a longer timeframe. And during that time frame, the goal is to continue to accrete the margin rates and obviously go above the 20% and that's just a milestone for 2025 for OFSE and 2026 for IET, and then it will continue to improve.
Scott Gruber: Got it. Appreciate the color. Thank you.
Operator: Our next question comes from Stephen Gengaro with Stifel.
Stephen Gengaro: The -- you have a slide in the presentation on GTS on the installed base. And I was curious, looking at the slide, you've seen, I think about 8.5% CAGR in revenue for the last 20 plus years, but the installed base has grown I think about 3%. So there's been strong outperformance in revenue versus the installed base. And I'm curious, as we look forward and you kind of guided to 20% growth in the installed base through 2030, how we should think about revenue growth relative to the installed base? Should we continue to see outperformance, and maybe if so, what would drive that?
Lorenzo Simonelli: Yes, definitely, Stephen. And you're rightly correct that we do see that the revenue growth should continue to outpace the 20% increase in our installed base as we go out to 2030. And as you look at the history, it's really down to four main factors that will contribute to that revenue growth. Firstly, higher pricing, as you know, some of the services are contractual service agreements, which are indexed pricing factors. And as you look at inflation being driven up, we'll see that come through in the contracts. Likewise for transactional agreements, as we see the pricing environment by market conditions, we're able to see benefit from that. Secondly, as you look at the mix improvement, and in fact as we're going forward, as was highlighted also with Dave's question, we do see a LNG mix being higher and our LNG installed base expected to increase by 70% between now and 2030. So that's a overall outpacing the 20% GTS installed base with higher attachment rates and more revenue per installed unit. Thirdly, advanced service solutions, our capabilities to evolve with digital capabilities and continue to monitoring and diagnostics of data on the machines, which we've been doing for 20 years, and we continue to do more. And finally, upgrades. And typically, customers have been really running their equipment right now and looking to not have upgrades. They've been deemphasized. But as we go forward, we think there's a lot of opportunities for our installed base to actually benefit from the upgrades, especially as we see the focus on emissions and efficiencies. And we've got a good technology basket of capabilities from an upgrade technology that we've been investing in and releasing them to the market. So those four levers are really the ones that give us comfort that the revenue growth is going to outpace the 20% increase in our installed base by 2030.
Operator: Our next question comes from James West with Evercore ISI.
James West: Hey, good morning, Lorenzo, Nancy.
Lorenzo Simonelli: Hey, James.
James West: So I wanted to ask again on IET, given the importance of that business, especially over the next couple of years and for the next decades or so of the business, a few things. One, kind of comfort on the $12.5 billion order number for this year. Obviously, it's late October, so probably pretty high. Two, kind of what are the puts and takes on 2025 orders? And how should we think about that? And then maybe lastly, if I could throw in a third one and break all the operators rules here. If I could talk a third one and ask you, when would you anticipate IET starting to surpass OFSE in terms of income for the company?
Lorenzo Simonelli: Good, James, that's a great way to get three questions into one.
James West: There you go.
Lorenzo Simonelli: So look, with regards to the first question on the aspect of 2024 for IET, feel good about the $12 billion to $12.5 billion. As you know, at the beginning of the year, we gave a guidance of $11.5 billion to $13.5 billion. And if you take that midpoint, again, we feel good about being able to achieve that. And I think what I've been particularly pleased about this year is, we gave that guidance at the beginning of the year before we knew about the LNG moratorium, and we've been able to see very robust levels of order intake even with lighter year-over-year LNG orders. And if you look at $9.2 billion of year-to-date orders, and only $700 million of LNG equipment orders so far in 2024. So significantly lower than last year when for the year, we booked $5.6 billion. So we've been able to see the diversity of our portfolio really come through. And as you look at the significant orders in gas infrastructure, FPSO as well as new energy, which, again, I highlight we're going to top the $1 billion for the first time, relative to new energy. And as you look at the guidance we gave at the beginning of the year, $800 million to $1 billion. So we feel good that even with all the headwinds, we are looking solid for the IET number this year. And as we look to next year, which was really your second question associated with order expectations. We'll come back in the fourth quarter earnings call and give more specific guidance relative to 2025. I'd say though, we feel good about 2025, with most segments similar to 2024, showing slight growth. I think if you start off with the equipment side, we do expect the pace of LNG FIDs to pick up next year, again, assuming a positive resolution of the U.S. LNG moratorium as well as the significant international LNG projects that are accelerating pace. Also, we've got a considerable addressable market outside of LNG that continues to be there. We stated that before for our GTE equipment, $100 billion to $120 billion between 2024 and 2030. Gas Infrastructure, again, we've had a very good year in 2024. That may be slightly softer in 2025, but again, overall, the puts and takes means that we're seeing a solid year in 2025 as well and very similar to 2024. And FPSO markets remain strong. Other market opportunities in micro grid as well as CTS. So positive with regards to IET orders in 2025. And on your last question, look, we feel good about both segments. We feel good about the growth trajectory, both on the margin, getting more accretive. And obviously, the Baker Hughes story is made up of both of them growing.
Operator: Our next question comes from Saurabh Pant with Bank of America.
Saurabh Pant: Lorenzo, Nancy, if you don't mind, I want to continue with the IET discussion, maybe make it a little nearer-term. If we look at the revenue number for the third quarter, it was a little below the range we were expecting. But the fourth quarter guide implies a pretty good rebound. And this is especially on the Gas Tech Equipment side of things. Maybe you can give us a little color on how things were evolving in the third quarter? And what's driving that rebound over the fourth quarter? Maybe it's just timing, right, but a little more color on that, please.
Nancy Buese: Yes. Happy to take that one. This is -- as you remember, this is a long-cycle business, and we certainly can experience some lumpiness from quarter-to-quarter for GTE in particular. And really, in some cases, they're just large projects that can experience some kind of delay due to an external factor. And that's why we give the range that we do. So that exactly happened in Q3, where we just had some supplier delays and some vessel delays. But the IET midpoint, we missed by just over $200 million, and that is all GTE related to timing. And so you will see that revenue coming in the coming quarters, and we'll see some of that in Q4, some of it in Q1. But we do remain super confident in our guidance. And I would say the important point to note is our guidance is still intact. And even with that lumpy revenue, the margin improvement continues and revenue overall is still increasing by 30% this year. So just to give a little context around that, GTE revenue is up 4% year-over-year. And if you look at year-to-date 2024 versus year-to-date 2023, it's actually up 33% and margins are now up to 17.9%. So we remain totally confident in our ability to continue executing on the nearly $12 billion of the GTE backlog. And again, as I said earlier, it's really not about mix, but revenues are up and margins are up. And margins are up 10 points year-over-year, and we are very confident in executing on that backlog. And it's also just good to note, too, that these are really diverse businesses deep down in IET and including Gas Tech, all of them are growing. So we are confident and GTE is -- all the orders are still there, and we are working through the backlog.
Lorenzo Simonelli: I would just add, and again, to go back to what Nancy mentioned at the beginning, and I know maybe it's different than some of our peers. These are long-cycle projects. Having seen these for over a decade, you're going to have some puts and takes over the course of quarters just based on also shipping and logistics as well as some of the deliveries. Again, all timing related. And I think the element here is, we're staying on track with the 20% EBITDA for 2026, the target that's been laid out and feel very good about the continued momentum of the orders coming in and the backlog being converted.
Operator: Our last question comes from Marc Bianchi with TD Cowen.
Marc Bianchi: Hi, thanks. I guess, the first question I had was just on the IET book-to-bill as we think about 2025. So it sounds like maybe the base case for the order level is flattish with where 2024 is. I'm curious how we should be thinking about the backlog conversion.
Lorenzo Simonelli: Yes. So again, if you look at the early read of 2025, and again, we'll give official guidance during the fourth quarter earnings call in January 2025. We're seeing, again, a robust level of activity. And year-over-year, again, like 2024, with positive momentum and then obviously looking to the LNG moratorium being lifted. And from a conversion perspective, again, the cycle time of these projects continues to be the same. So again, when you think about the RPO continuing to be at record levels as we go forward and continuing to convert at the same pace.
Operator: And thank you. That was our last question. I will hand you back to Mr. Lorenzo Simonelli, Chairman and Chief Executive Officer, to conclude the call.
Lorenzo Simonelli: Thanks a lot to everyone for taking the time to join our earnings call today, and I look forward to speaking with you all again soon. Operator, you may now close the call.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This concludes the program. You may all disconnect. Everyone, have a great day.